Operator: Good day, everyone and welcome to the Globe Specialty Metals’ 2014 Third Quarter Earnings Results Conference Call. This call is being recorded. With us today from the company is Jeff Bradley, Chief Executive Officer and Joe Ragan, Chief Financial Officer. At this time, I would like to turn the call over to Mr. Ragan. Please go ahead, sir.
Joe Ragan - Chief Financial Officer: Good morning and thank you for joining the Globe Specialty Metals’ third quarter of fiscal year 2014 conference call. I am going to read a brief statement and then hand it over to our CEO, Jeff Bradley. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Globe’s most recent SEC filings and the exhibit to those filings, which are available on our webpage, www.glbsm.com. In addition, this discussion includes EBITDA, adjusted EBITDA and adjusted diluted earnings per share, which are non-GAAP measures. Reconciliations of these non-GAAP measures maybe found in our most recent SEC filings. Now, for Jeff Bradley, Globe Specialty Metals’ CEO.
Jeff Bradley - Chief Executive Officer: Good morning, everyone and thank you for joining Joe and me on this call this morning to discuss our third quarter results. I am pleased to report that profitability, revenues and shipments were all higher in this quarter versus the previous quarter. In spite of the fact that we faced severe weather-related issues, shipments in the quarter increased 11% to almost 74,000 tons, more than 6,000 tons higher than the previous quarter. This increase in tons led to a net sales increase of 10% for the prior quarter to $196.1 million and adjusted EBITDA of $29.5 million, which was 12% higher than the prior quarter. On January 3, our workforce in Becancour returned to work. The furnaces were restarted in phases and by the end of the quarter all the furnaces were operating. With the facility up and running and the trade case successfully won, we have regained the customer base up in Canada to levels not seen in many years. We continue to make progress at our South African Siltech ferrosilicon operation. We have hired most of the key salaried personnel and continue to plan for a restart later this calendar year. The Globe operations and engineering team that’s been overseeing and driving the restart plan has determined that with our know-how, technologies, raw materials and practices, we now expect the production to be more than 20% higher than the previously announced 45,000 metric tons that the furnaces produced historically. We remain optimistic about the success of this facility and the positive impact to the earnings the plant will generate next year. We continued to drive our cost savings initiatives in the quarter. We are developing new lower cost formulation for electrodes in our production facility in China. We completed the testing in our U.S. plants during the quarter and look forward to not only lower costs, but also higher quality compared to what we have used in the past. Demand from the end markets we serve including chemicals, automotive, construction, solar and the oil and gas segment continued to improve consistent with our market expectations we maintained modestly higher than normal exposure to spot prices. On the business development side, we continue to see a high level of deal flow and we are effectively pursuing accretive acquisitions that will drive shareholder value. Additionally, we have continued returning cash to shareholders through our quarterly dividend and share repurchases in the quarter. Joe?
Joe Ragan - Chief Financial Officer: Thanks, Jeff. Over to the slide deck now. During the third quarter, the company executed well overcoming most of the challenges presented by the severe weather during the quarter. Sales volumes increased 11% sequentially shipping nearly 74,000 metric tons of product producing a 10% increase in revenue when compared to the second quarter of the fiscal year. Adjusted EBITDA came in above expectations at $29.5 million for the third quarter, a 12% increase over the second quarter. These results produced $0.14 adjusted diluted earnings per share for the third quarter, 8% higher than the second quarter of fiscal 2014. Volumes and pricing continued to move positively sequentially which has allowed us to execute our share repurchase program from operating cash flows. Next slide, sales increased 10% sequentially, while operating income increased nearly 13% representing margin expansion in both, operating and the EBITDA margins illustrating the positive impact of the current pricing environment. Next slide, sales, we had several special items that occurred during the quarter, but I will highlight three of them shown on this slide. We re-measured certain liability based equity awards and have added those costs back to adjusted EBITDA. Additionally, we had some weather related business interruptions during the quarter and we have added back costs associated with these interruptions, which we expect to recover from our insurance providers. And lastly we have added back costs associated with the Quebec Silicon lockout during the quarter. The results of these and the other adjustments on the slide was an adjusted EBTIDA for the quarter of $29.5 million and as I said earlier that is up 12% sequentially for the quarter. Next slide, on a reported basis results were significantly higher than the second quarter of fiscal 2014 on an operating income basis. There were large special adjustments during the previous quarter related to the Siltech acquisition including the bargain purchase gains that did not reoccur during the current quarter. This drove the sequential variance when comparing the two quarters. Next slide, during the quarter we had both improved pricing and volume which drove the increase in EBITDA. We also had higher compensation expense as a result of additional equity brands which occurred during this quarter, which is shown as an increase to SG&A. These factors resulted in a final adjusted EBITDA for the third quarter of $29.5 million. Next slide, cash generation from operations for the quarter was strong, but was offset by planned share repurchases and the execution of certain equity awards, capital expenditures and dividends were as expected. As we look forward to the fourth quarter of fiscal year 2014, we expect a solid improvement in earnings and margins for the quarter primarily related to price increases and we will continue with our cost out initiatives in all areas of the business to continue an overall improvement in our results. We would now like to open the call for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Ian Zaffino with Oppenheimer. Your line is open.
Ian Zaffino - Oppenheimer: It seems that pricing was – is going up but I guess you had mentioned that there is some import pressure, where exactly are you seeing it from because, it seems like my understanding is the Chinese really can’t come in, you control most of North America, just kind of give us an understanding of really how much you are seeing there and is there anything you can do to alleviate some of that pressure? Thanks.
Jeff Bradley: Good morning Ian. Yes, as you know the United States is a net importer of silicon metal and so we have – we always have imports coming in from Europe, South Africa, from Brazil, Australia, so we are constantly faced with the pressure of imports. On the flip side, demand – the outlook for demand from all the major markets looks very good. And as we go through the balance of this year and into next year the demand picture should have a direct impact on prices. And we remain very optimistic about calendar ‘15 as well.
Ian Zaffino - Oppenheimer: Okay, now that is helpful. And then on the acquisition front, I guess you said that you are looking for more deals, would that just be more opportunistic deals? Are there any type of fill-in acquisitions that you would want to do, I know you are now in South Africa. So, is there something maybe something that part of the world that you want to get involved in or is it still on a very opportunistic basis?
Jeff Bradley: Alan is very engaged as he always is. As I mentioned in my comments, the deal flow is very good right now and it’s going to be more what we have done in the past opportunistic, niche opportunities looking for companies that we can get at a very low cost with products that have high margins. So, it’s going to be more the same and we are looking throughout the world.
Ian Zaffino - Oppenheimer: Okay. And then just final question is on the demand front, you have mentioned that you see strength in the demand and how the prospects look good there, could you just bucket maybe kind of the end markets that you are seeing the most strength and I know it’s difficult because your customers are kind of selling to multi-areas, but if you could do your best, maybe help us understand, which is really driving the strength?
Jeff Bradley: When we look at our silicon metal business, the largest end-market is the silicones market, silicones go into thousands of products and silicones demand continues to be strong. Typically, it’s grown at GDP plus 4%. And in emerging markets, it’s growing at higher rates than that. So, we continue to see very good demand out of the silicones market. Next would be aluminum and specifically aluminum castings, much of that is auto, the auto builds globally and in the United States remained very strong and the outlook is very good for auto both here and around the world. And finally solar, solar would be the smallest end market, but the fastest growing end market. We see very good opportunities for solar, not only in the United States, but around the world.
Ian Zaffino - Oppenheimer: Okay, thank you very much guys.
Operator: Our next question comes from Luke Folta with Jefferies. Your line is open.
Luke Folta - Jefferies: Good morning, guys.
Joe Ragan: Good morning.
Jeff Bradley: Good morning, Luke.
Luke Folta - Jefferies: I guess, first question on silicon alloys last two quarters, your shipments have exceeded what I guess what we thought you could do in terms of capacity. Can you just give us a sense of what is your total capacity now and for silicon alloys?
Joe Ragan: You know….
Jeff Bradley: Joe, you are going to say, no, go ahead, go ahead.
Joe Ragan: We typically guide to Luke about 130,000 metric tons, but it is a moving number because it depends on the alloys. We make 75% silicon alloys and we make 50% silicon alloys and we can produce more of the 50% than the 75%. So, the number will tend to move around a little bit. And we also have furnaces that we have been able to configure to go back and forth between silicon metal and silicon alloys, but that can also move the number a little bit.
Luke Folta - Jefferies: Okay. And it looks like there – it seems like there has been some mix change over the last couple of quarters. Is that predominantly attributable to the trade case in terms of just opening up some demand that had been serviced by Venezuela before or something like that?
Jeff Bradley: What do you mean by mix change? Can you be a little more specific?
Luke Folta - Jefferies: Well, I mean just in terms of the silicon alloys, I think the average selling prices haven’t mirrored, I guess what was happened in the ferro market. So, it just seems that – it seems like its more mix generated in terms of what’s the increasing shipments seems to have had some impact on the selling price?
Joe Ragan: Right. And again, it depends on what the mix is and we don’t get into details on all the products we sell, we don’t break out the ferrosilicon, we don’t break out the foundry alloys. So, ultimately, it does get down to mix between the foundry alloys and the ferrosilicon grades.
Luke Folta - Jefferies: Okay, but if we wanted to take what you have reported and kind of run it against an index just in terms of price changes going forward. Is this a good – this quarter like a good representation of what you think your normalized mix will be in that bucket going forward?
Jeff Bradley: Yes, I think that’s correct. I would use this mix in your projections and overall when you look at the overall capacity and our shipments, it’s been fairly consistent, it’s really we have toddled back and forth between ferrous silicon and silicon metals. I would use this mix.
Luke Folta - Jefferies: Got it. Okay, alright. And then just on Becancour and I guess the Canada market as a whole, I think we talked about they are being somewhere around 25,000 tons of potential demand that you haven’t being servicing that’s – is now more open to you, how much – can you give us a sense of I guess how much of that you captured versus what your expectations are, I mean is this I guess what I am getting at is you think you have established your share and this is kind of a go forward level of participation or is there a more upside there?
Jeff Bradley: Well, to clarify yes, the market is 25,000 to 30,000 tons, it’s predominately aluminum. Look I really can’t get into details of what percentage of the market we have been able to capture. As I said we have been able to regain the customer base to levels that we haven’t seen in many years. And we remain optimistic about the market up there in Canada.
Luke Folta - Jefferies: Okay. And second quarter as we started I think a third of a way through the quarter, can you give us some sense of what the utilization rate was there just in terms of how we think about the step up in shipments in the fourth quarter versus 3Q?
Jeff Bradley: Sure. The workers returned to the plant on January 3. We had planned maintenance that we have to perform on all the furnaces. And as I stated the furnaces came up in phases and we finished up the last furnace literally at the end of the quarter. So we look for full production in this fiscal fourth quarter. And just to remind you that’s the plant that has the capacity of approximately 45,000 tons and we have got 51% and Dow Corning’s got 49%.
Luke Folta - Jefferies: Okay. But in terms of just the quarterly change what – can you give us some sense of what utilization rate was this quarter?
Jeff Bradley: I don’t have the exact number, but obviously the utilization rate was low because as I said we brought the furnaces up in phases.
Joe Ragan: We already have one furnace operate.
Luke Folta - Jefferies: Right.
Joe Ragan: And so we are just moving back the other two and we got the third furnace up and – by the end of the quarter. So it’s going to be between 60%, 65% somewhere in that range.
Luke Folta - Jefferies: Okay. Any further startup costs?
Joe Ragan: Just (indiscernible) of upside, because the third furnace really wasn’t up till the end of the quarter.
Luke Folta - Jefferies: Okay. And then on Siltech, any further start-up costs expected over the next couple of quarters?
Joe Ragan: No.
Luke Folta - Jefferies: Okay. Alright last question guys. Just on – just on the import environment, I think last time we spoke, we have had talked about I think Brazil still having a good amount of capacity down, given the high power cost situation there. I guess do you have a sense for how much latent capacity is out there in Brazil and I guess what’s silicon metal price, I mean just ballpark do you think starts to trigger some of the restart of that capacity or energy costs are just so high but it just doesn’t make sense at any price that’s reasonable near-term.
Joe Ragan: I can’t comment on that. The companies are privately held and I really just don’t know the numbers.
Luke Folta - Jefferies: Okay. Thanks a lot guys.
Joe Ragan: Sure.
Operator: Your next question comes from Garrett Nelson from BB&T Capital Markets. Your line is open.
Garrett Nelson - BB&T Capital Markets: Hi good morning Jeff and Joe. Good quarter despite some significant weather challenges. I want to ask you that the spread between silicon metal and silicon alloys prices has widened somewhat over the past few quarters. I was hoping, you could add some color as to why that’s happening and whether you expect the spread to continue to widen going forward or should we not be reading too much into this because the alloys realizations are mainly a function of mix.
Jeff Bradley: Well look, I will point you back to the published spot pricing for ferrosilicon and for silicon metal. And if you look at those spot prices, the spot pricing for silicon metal has moved up at a much higher rate than the spot pricing for the ferrosilicon alloys.
Garrett Nelson - BB&T Capital Markets: Okay.
Jeff Bradley: And as I have said in my comments, it’s going to be a function of demand, I mean pricing always follows demand and the demand outlook for the balance of this year going into next year is very good.
Garrett Nelson - BB&T Capital Markets: Okay. And then on the two South African smelters, could you provide some more detail such as whether you plan on ramping up the full capacity, if so how long will that ramp up, how long will that ramp up take and what will the impact be on your overall unit costs?
Jeff Bradley: We have said that we are going to start the furnaces up the later part of this year. The plan is to start furnaces up or ramp up for something like this facility that’s been down for a year and a half. It’s going to take a couple of months to get to full capacity, but what we are really excited about is really as we have looked at this facility, looked at the furnaces we are very happy with the quality of the assets and the quality of the furnaces and we have determined that we are going to get about 20% more output out of these furnaces than the former owners were getting.
Garrett Nelson - BB&T Capital Markets: Okay. And then finally nice activity on the buybacks during the quarter, how much capacity is left on the authorization at this point?
Joe Ragan: About – we have used about a third of the authorized amount.
Garrett Nelson - BB&T Capital Markets: Okay, great. That’s all I have. Thanks.
Jeff Bradley: And Garrett, just on one item that you mentioned on the weather-related items, we haven’t actually quantified the impact of weather. I think in my remarks, we really overcame those. Look, we had a couple of issues that occurred that we added back that we have business interruption insurance for. Those could have occurred in times where there wasn’t weather. So, we are not actually, I know there is a lot of chatter out there in the sector about weather issues that really wasn’t the issue. I mean, we increased our EBITDA sequentially. So, we overcame the weather issues. So, we are not using that as something that made us, so we didn’t make our numbers, just wanted to emphasize that.
Garrett Nelson - BB&T Capital Markets: Right. But your total shipments were up about 7,000 tons sequentially?
Jeff Bradley: Right.
Garrett Nelson - BB&T Capital Markets: Okay.
Jeff Bradley: I mean, they went down.
Garrett Nelson - BB&T Capital Markets: Right, right.
Jeff Bradley: Just to echo what Joe said, we talked about the weather this quarter and yes, we did have severe weather, but I want to be clear that the reported numbers were not impacted by the weather. We had severe weather. We dealt with it. We had a situation in Niagara Falls, where we lost a transformer that impacted us and we also had a situation in our West Virginia plant, where we had a roof collapse. Nobody was injured, but we had a roof collapse that also affected the output. So, they would have been the two events in the quarter, the two one-time events that had an impact, but we dealt with the weather and the weather did not impact these numbers.
Garrett Nelson - BB&T Capital Markets: Got it. Thanks.
Operator: Our next question comes from Ian Corydon with B. Riley & Co. Your line is open.
Ian Corydon - B. Riley & Co.: Thank you. Joe just wanted to make sure I understand the deck. It looks like the normalized gross margin, excluding any of the one-time items is 16.8%, is that right and then logically if prices are higher in the next quarter, can we expect that to move higher?
Joe Ragan: Yes, that is correct and yes, we expect it to move higher. So, we will get margin expansion as we see the prices go up.
Ian Corydon - B. Riley & Co.: Got it. And then where do we stand at Alden Resources with potentially getting new customers for that coal?
Jeff Bradley: Alden continues to do very well. We don’t discuss customers, we do discuss, we do talk about our third-party sales to be in the neighborhood of 100,000 tons, but we don’t get into the customer base and who we sell to, but I can report that the Alden acquisition continues to go very well. The coal is working well in all of our plants. And I think working very well for third-parties that we sell to.
Ian Corydon - B. Riley & Co.: Got it. And then at Siltech, have you secured raw materials for that plant and also do you have a power contract in place?
Jeff Bradley: We have a contract on power. And yes, we have raw materials. We are securing additional raw materials. Yes, we will be using a percentage of Alden coal and then we are looking at additional supplies of charcoal and coal at the carbon source. We have got plentiful courts over there and we have got plentiful wood.
Ian Corydon - B. Riley & Co.: That’s great. And then Jeff I wonder if you can just give us your sense for the spot market today. Just in terms of are you seeing a lot of spot transactions, are they large or small and is there much – do you think there is much supply out there if the spot market eases up?
Jeff Bradley: Are you specifically referring to the silicon metal, Ian?
Ian Corydon - B. Riley & Co.: I am, yes.
Jeff Bradley: Yes. We are seeing an active market. There isn’t a week that goes by that we don’t get a phone call from someone in the U.S. looking for material, so which goes back to my comments earlier about demand coming out of all our end markets. We are seeing inquires coming in from chemicals, we are seeing enquires coming in from aluminum, solar, so yes very active.
Ian Corydon - B. Riley & Co.: Great, that’s all I have. Thank you.
Operator: Our next question comes from Phil Gibbs with KeyBanc Capital Markets. Your line is open.
Phil Gibbs - KeyBanc Capital Markets: Good morning.
Jeff Bradley: Good mornings, Phil.
Phil Gibbs - KeyBanc Capital Markets: Jeff, given the volume and the slight pricing pick up quarter-on-quarter, I guess I would have just expected to see better gross margins, you pointed to some noise I think with the transformer and the roof collapse, I guess the question is, do those two pieces come out, did they have an impact on those numbers and where does that business interruption really come in, does it provide an offset to that and accord to your adjusted number?
Jeff Bradley: Let me just take you through the dynamics for this quarter. As we stated on the last call approximately two-thirds of the business is tied to spot pricing. When you look at silicon metal particularly, which I think you are referring to, in the fourth quarter, the average silicon metal price, spot price was about $1.25, today as we speak here on the telephone it’s more than $1.40. Contracts were secured in the fourth quarter of last year, in that environment which was $1.25. Some of the contracts were firm priced and then as we said a lot were tied to spot indexes or spot numbers. So those that were firm priced carry through this year at a lower number than current spot numbers. And then the contracts that were linked to the spot indexes, the December number was about $1.25, so they carried through into the quarter. So both the contracts that were firm priced that were secured in the fourth quarter and the business that was spot that was in January tied to the December number. That’s really I think the difference you are looking for between may be what you were expecting based on the current market.
Phil Gibbs - KeyBanc Capital Markets: Yes, I mean I don’t think pricing was all too much different. I was just more or less curious on the cost performance, did the cost performance meet your targets or is there more to go there?
Joe Ragan: Yes. We are still driving the cost initiatives. So we are not satisfied with our current margins. So we are going to drive there and look the, we didn’t have reduced EBITDA margins or gross margins due to the weather, but we did fight it. There were – as we said we had to overcome things, I mean you get a railcar of coal that is frozen, it changes your yield and we did deal with that during the quarter. It didn’t impact us as it did with many other players in the states or other associated people, so that our numbers were lower, but we had to fight through that and so those kinds of issues that we overcame during the quarter. But we didn’t overcome them without any margin impact.
Phil Gibbs - KeyBanc Capital Markets: Okay. We can follow-up more on it afterwards, but I appreciate it. And I just had a housekeeping question on the SG&A side, is the Siltech piece in there right now as far as added SG&A or is that something that we should see staged moving forward? Thanks.
Jeff Bradley: It will be staged. I mean, we are hiring people now. So, it won’t be at full run-rate until the end of the year.
Phil Gibbs - KeyBanc Capital Markets: Thanks, guys.
Operator: (Operator Instructions) Our next question comes from Thomas VanBuskirk with Sidoti & Company. Your line is open.
Thomas VanBuskirk - Sidoti & Company: Hi, good morning.
Jeff Bradley: Good morning, Tom.
Thomas VanBuskirk - Sidoti & Company: Most of my questions have actually been answered. I had one question just to try and understand the noise that’s created each quarter from all of these re-measurements of the stock options, I know it’s not necessarily that economic and it’s not a cash thing, but is this something that we are living with forever, it’s not something that I see across most of the universe that I cover. I am just trying to get it in perspective and maybe I want to understand better how to think about it, if I should think about it at all?
Jeff Bradley: No, those were old awards five years old and have now expired and have been executed or executed before they expired during the quarter. So, the majority of that will go away going forward. That’s a good point, it is pretty unique.
Thomas VanBuskirk - Sidoti & Company: So, is that then tied to what happened with the options being cancelled and replaced with all those stock appreciation rights, that’s got – that got exercised during the quarter?
Jeff Bradley: It was – yes, it would be opposite. The stock appreciation rights went away and were replaced by options…
Thomas VanBuskirk - Sidoti & Company: Got it, okay. So, basically this is mostly thing of the past?
Jeff Bradley: You bet.
Thomas VanBuskirk - Sidoti & Company: Got it, okay. Thanks.
Operator: Our next question is a follow-up from Luke Folta with Jefferies. Your line is open.
Luke Folta - Jefferies: Thanks for taking all my questions guys. Just one last one, we have been waiting to get a power contract in place for Siltech to try to understand what the ultimate earnings power could be from that operation, with the cost structure better understood. Any comments on what you think long-term the potential could be for that asset now given your revised production expectations as well?
Jeff Bradley: What exactly is the question?
Luke Folta - Jefferies: Well, what is the long-term, I guess what’s the earnings potential for Siltech, it’s now that we have got a power contract in place, it would seem you probably have a much better understanding of your cost structure than you had prior to that?
Jeff Bradley: We do – I mean we are not prepared today to give a forecast on the earnings power of this plant other than to say it’s one of a very accretive facility. We have got these additional tons. We are very pleased with the way everything is coming together on the raw materials side. Just our expertise, I mean, we have tremendous amount of expertise. We have this operating team we have put together. These guys are in there all the time now. And as we get further down the road, we will be able to talk about it more, but I can report to everyone that Globe remains very optimistic about the output of this facility.
Luke Folta - Jefferies: Okay. Can you talk about where the power contract is relative to the rest of Europe like the North American average, just to help us model it going forward?
Jeff Bradley: No, I don’t want to disclose the pricing as we don’t disclose the pricing of the U.S. plants, the power contract pricing is higher, but I am not prepared to give you the exact numbers.
Luke Folta - Jefferies: Okay, thanks again.
Operator: And I am showing no further questions. I will now turn the call back to Jeff Bradley for closing remarks.
Jeff Bradley - Chief Executive Officer: Again, thank you very much everybody. We really appreciate your interest in the company. As you can tell by the tone of this call, we remain very optimistic about our business, not only the balance of this year, but going into next year. So, thank you very much and we will see you on the next call. Good bye.
Operator: Thank you, ladies and gentlemen. That does conclude today’s conference. You may all disconnect and everyone have a great day.